Operator: Good day, and thank you for standing by. Welcome to the Q2 2022 Codex DNA, Incorporated Earnings Conference Call.  Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Todd Nelson, Chief Executive Officer. Please go ahead.
Todd Nelson: Thank you, Kyle. Good afternoon, and thanks for joining us for Codex DNA's second quarter 2022 earnings call. My name is Todd Nelson, and I'm the CEO here at Codex DNA. With me on the call today are Chief Operating Officer Eric Esser; and our VP of finance, Brent Hunter, who is assuming the responsibilities of our previous CFO, Jennifer McNealey. Our second quarter press release is available now on the Investors Section of our website. If you'd like to be added to the company's distribution list, please send an email to ir@codexdna.com. Before we begin, I'd like to inform you that certain statements we make during the call will be forward-looking. These statements involve known and unknown risks and uncertainties that may cause actual results to differ materially from those expressed or implied. Such factors include those referenced in the safe harbor statement included in our earnings release and in our filings with the SEC. This conference call contains time-sensitive information and is accurate only as of the live broadcast on August 9, 2022. Finally, any percentage changes we discuss will be on a year-over-year basis, unless otherwise noted. And with that, let's get started. At Codex DNA, our mission is to apply breakthrough automation solutions to global health care and technology markets. Our customers and collaborators include premier academic research institutions, rapidly growing biotech companies and nearly all of the top 25 biopharma companies. Our systems are utilized by academic and industry sciences worldwide in a variety of discovery activities, ranging from discovering novel infectious disease vaccines to developing precision immunotherapy for cancer and antibody therapeutics, to the creation of engineered meat substitutes and sustainable cellular agricultural products. Our automation solutions allow scientists to synthesize and assemble DNA and mRNA with the push of a button, allowing us to address large unmet needs within our targeted markets and our customers to bring critical products to the market in an unprecedented amount of time. We believe that our strong financial momentum will support the long-term mission of the company. And with that, I will turn to the discussion of our recently reported financial results and corporate updates. To start, I'd like to highlight our 2022 achievements and commercial results. We've experienced a strong first half of the year across our product portfolio. Our business continues to grow, and we see increasing demand for our products. During today's call, I will discuss our recent commercial success and our path to profitability, specifically around our thoughts on future revenue, gross margins, and operating expenditures. With a cash position of approximately $62 million at the end of the second quarter and our combined efforts to reduce spend, access to non-dilutive debt financing of up to an additional $25 million and the potential for $30 million in milestones from our Pfizer partnership, we are laying a strong foundation for a potential path to profitability by year-end 2024. Before we dive into the details, here are a few highlights from the second quarter and for the first 6 months of 2022. In the second quarter of 2022, we grew total revenue by nearly 100% compared to the prior-year period. Excluding contributions from Eton Bioscience acquired in Q4 of last year, overall growth was 44%. And for the 6-month period ending June 30, 2022, total growth was 118% and growth, excluding Eton, was 61%. We sold 16 BioXp 3250 systems during the second quarter, bringing the numbers sold during the first 6 months of 2022 to 34. Instrument revenue was up 21% and 43%, respectively, for the second quarter and 6-month period ending June 30, 2022. BioXp system volumes were up 23% during the second quarter and 31% for the 6-month period. This was a record-setting first half for the company and reflected the strong continued demand for our automated platforms for DNA fragment assembly and mRNA synthesis. We also experienced a record quarter for BioXp kit sales, which has continued along its strong growth path, posting 66% growth over the prior period and 50% for the first 6 months of the year compared to the same period in 2021. During the second quarter, we reported solid growth of 392% in services revenue from combined Eton and Codex DNA biofoundry services group and growth of 558% for the 6-month period, driven mostly by contributions from Eton. Fewer COVID-related gene synthesis requests impacted the organic growth, that being excluding Eton, for the second quarter and first 6-month periods, which was down 42% and 3%, representing a decrease of $149,000 and $15,000, respectively. Collaborations, royalties, and other revenue grew at 113% for the second fiscal quarter and 144% for the first 6 months of the year, respectively. Growth in this category stems from the continued growth in royalties from our licensing partners, such as New England Biolabs, Thermo Fisher, and others for Gibson Assembly products, and the amortization of an $8 million upfront payment we received from Pfizer. Gross margin improved significantly during the second quarter from 33.4% in Q1 of '21 to 48% in Q2 of '22. For the first half of 2022, gross margin improved from 43.5% in 2021 to 48.6% in 2022. Margin expansion for the second quarter as compared to the same period a year ago was largely driven by a positive mix shift to higher-margin products, including mRNA, and a lower cost of raw materials, including all of the nucleotides for oligos. And finally, we have substantially completed the development work on the BioXp 9600 system and are preparing for a fourth quarter launch. Importantly, weâve already secured several presale purchase orders, which, if fully executed, will be sufficient to cover our internal forecast for 9600 sales for the rest of 2022. Our vision has never felt more achievable. We've made significant progress developing new innovative applications for existing BioXp systems that drive sales of on-market products, as well as developing paradigm-shifting future technologies. These innovations have the potential to fundamentally transform our industry and at the same time position Codex DNA to serve significantly larger and broader addressable markets. Inherent in this vision is our path toward improving our gross and operating margins, becoming a profitable company, and delivering value to our stakeholders. In an effort to accelerate our path to profitability, our management team and Board are taking prudent steps to undergo targeted expense reductions in the near-term, which will extend our current cash runway and will be reflected in our updated 2022 financial guidance. Shifting gears now to our commercial results, we executed in all areas of our go-to-market strategy this quarter. We experienced a strong quarter of growth within our BioXp franchise in systems and kits. As mentioned, we sold 16 BioXp 3250 systems this quarter. And when combined with the 18 units from the first quarter, we are on a record pace for sales going into the second half of the year. Similarly, BioXp kit sales were strong during the quarter compared to the prior year period. We experienced record revenue growth of $838,000 in sales during the first quarter for BioXp kits, representing 66% growth over the prior period and 50% growth for the 6 months -- first 6 months of 2022 as compared to the same period in 2021. North America contributed the vast majority of kit growth in revenue, reflecting an investment that we made in the second half of last year into the North American region, including adding additional field based reps, field application scientists and field service engineers. In addition, we established an inside sales initiative that has contributed significantly to the growth in this category during the first half of the year. While core DNA kits for fragment synthesis and cloning continue to account for the majority of revenue mix, we are pleased to see that products introduced during the past 18 to 24 months are now contributing approximately 30% of the overall kit revenue. Within services, the Eton business, driven by strong demand for sequencing services, performed solidly in the quarter and contributed approximately $1.5 million of revenue, which was ahead of our internal forecast. As a reminder, weâve allocated a significant amount of Eton's resources and manufacturing capacity in the near-term toward our own internal raw material supply to invest in oligo production and R&D efforts to support the Pfizer collaboration. Starting in the fourth quarter of 2022, we believe that Eton can begin scaling up production of oligos for internal use in manufacturing, which should reduce our raw material costs within several product lines, providing significant accretion to gross margins as we ramp up production throughout 2023. I'm also pleased to report that we are off to a strong start in our collaboration with Pfizer. We've announced significant technical development progress related to our proprietary second generation DNA synthesis chemistry referred to as SOLA, and we have several key milestones the team is working on to achieve, and we are on track to do so. As we discussed previously, our team continues to cultivate relationships with potential partners, and we intend to establish additional agreements with both new and existing collaborators over time. Now I'd like to touch on recent progress within our R&D programs and provide some organizational updates. Our next generation instrument, the BioXp 9600 is designed to have approximately 3x the capacity as the current BioXp 3250 system, making it an ideal solution for higher throughput customer segments within biotech and pharma. We are pleased to report the BioXp 9600 system is on track for a full commercial launch in the fourth quarter of 2022. Moving on now to our SOLA EDS program. As a reminder, SOLA EDS is our highly differentiated and proprietary enzymatic DNA synthesis platform that construct DNA, ranging in size in short oligos to full-length genes, which can also be used to enable the production of both RNA and protein. We expect our approach to building DNA using SOLA EDS will allow scientists to construct higher-quality products faster at the bench top. During the second quarter, we advanced our SOLA development program and are now able to consistently and reliably generate high-fidelity DNA oligos of 20 to 100 base pairs at the bench top. Importantly, using the BioXp system, we have demonstrated fully automated gene mRNA and protein synthesis starting from SOLA-generated oligos. Based on this success, we are accelerating our time-to-market for our first DBC instrument. This version of the system will be the first of several in the BioXp DBC line of benchtop instruments that will focus on same-day turnaround for DNA, RNA, and protein synthesis. We anticipate launching the system with SOLA EDS library specific CRISPR guide RNAs, enabling same-day turnaround production for up to 24 guides during a fully automated run in the fourth quarter of 2023. As I hand the call over to Brent to review our financials in more detail, I want to mention that, as an existing member of our senior leadership team, he has a deep knowledge of our business, markets, and culture, and he's been a value partner within our finance organization. We look forward to introducing Brent to many of you soon. And with that, I will pass the call over to Brent.
Brent Hunter: Thank you, Todd for that kind introduction and good afternoon, everyone. It's been a pleasure to meet some of you in my first few months as the Head of Finance with Codex DNA. I look forward to getting to know many more of you in the coming months. Detailed financial results for the second quarter were included in today's press release. In my remarks today, I'm going to walk through our income statement, touch on a few key financial metrics and finish with our updated financial guidance for 2022. Codex DNA is well capitalized with cash and short-term investments of $61.9 million as of June 30, 2022. Revenue was $5.7 million for the second quarter 2022, which was a 98% increase in total revenue from $2.9 million for the same period in the prior year. This strong growth was driven by a record quarter for BioXp kit revenue, totaling approximately $840,000, up 66% year-over-year, and solid contributions from Eton's sequencing services and oligo production revenue, which totaled $1.5 million. Royalties and other revenue also grew due to revenue related to the Pfizer collaboration agreement. Organic growth for the core business, net of Eton contributions was 44%, and for the first 6-month period, the growth was 61%. Gross margin for the second quarter was 48%, compared to 33.4% for the same period in the prior year. The increase of 14.6% or 1,460 basis points was primarily driven by the continued amortization of the Pfizer milestone payment, the contribution of Gibson Assembly licensing revenue and improved product margins resulting from price increases and increasing contributions from higher margin products such as mRNA. For the first 6 months of 2022, gross margins were 48.6%, compared to 43.5% for the prior year period. Operating expenses were $17.2 million for the second quarter, compared to $8.5 million for the same period in the prior year. This increase was driven by headcount expansion primarily in our commercial, R&D and G&A organizations. The increased personnel expense related to sales and marketing efforts, increased product development efforts and hiring of new leadership and professional support staff. Operating expenses for the first 6 months of 2022 totaled $32.8 million, compared to $16.1 million for the same period in the prior year. Net loss was $14.8 million or $0.50 per share and $28 million or $0.95 per share for the second quarter and first 6 months of 2022, respectively. This compares to a net loss of $9.2 million or $1.06 per share and $16.6 million or $2.39 per share in the same period in the prior year, respectively. Now I'd like to briefly cover our updated financial guidance for 2022. Due to our strong first half of 2022, we are raising full year revenue guidance accordingly. As a reminder, we initially guided to revenue of $19 million to $21 million in 2022. Based on our second quarter results, we are increasing our revenue guidance to $22 million to $24 million. I will now provide some additional context regarding our updated guidance for the year. We anticipate being able to sell approximately the same number of BioXp 3250s during the second half of the year. As it relates to the BioXp 9600, we are still on track for a fourth quarter commercial launch. The BioXp 9600 will have a higher price point compared to the BioXp 3250, with an approximate list price of $300,000, and we expect to place mid to high single-digit instruments in 2022. In addition, we anticipate BioXp kit revenues, driven by a larger installed base and higher utilization rates within our top customers, will be approximately $1.3 million in the second half of the year. Continuing down the P&L, we forecast 2022 gross margin to be in the 48% to 52% range, which represents a significant increase when compared to 2021 gross margin of 34.8%. This accretion is being driven by favorable raw material costs for oligos and, importantly, high-margin revenue related to our collaboration and royalty programs and a combination of favorable product mix within the BioXp franchise stemming from a favorable mix shift within kits and the contribution of higher margin from the launch of the BioXp 9600. As Todd previously mentioned, we are also reducing operating expenses, which we view as prudent in this uncertain macroeconomic environment. We expect our 2022 operating expenses to be in the range of $62 million to $65 million. And with that, I will now turn the call back over to Todd.
Todd Nelson: Thanks, Brent. Before opening the call for questions, let me conclude by spending a few minutes discussing our path to 2024 profitability. We are executing against the plan that will allow us to potentially achieve profitability during 2024. So let me take a few minutes now to walk you through the high-level landscape of this plan. On revenue growth, I would remind investors that weâve grown the business at a four-year compound annual growth rate of 48%, and we have a robust series of new product launches that when juxtaposed against the growth of our BioXp franchise should generate significant revenue growth over the next couple of years. As an example, the anticipated fourth quarter launch of the 9600 system brings with it significant revenue potential stemming from higher instrument ASPs, higher BioXp kit utilization rates and an ability to expand in new adjacent markets. In addition, we will be launching the first in a series of BioXp DBC benchtop instruments that will allow for the same day turnaround of CRISPR guide and algos for gene synthesis on a single integrated device. Taken together, while uncertainty remains regarding our ability to achieve future revenue targets, we remain comfortable that if we are able to achieve certain collaboration milestones, our anticipated revenue for the 2024 period should be sufficient when combined with our current and future cost-cutting efforts to move us into profitability. Our gross margins will continue to expand as a result of favorable product mix contributed from recently launched higher margin products such as mRNA and favorable raw material purchasing for oligos. We remain on track to launch internal oligo synthesis capabilities that will allow us to offset a portion of our raw materials purchases. All told, we believe margins in the next 18 to 24 months should trend upwards to between the high 50s to low to mid 60s. Currently, we have a cash position of $62 million and up to $25 million in additional debt capacity that we've secured, and weâve the potential to earn through achievement of technical and licensing milestones an additional $30 million from our partners and collaborators. As such, from where we sit today, provided we execute to the above plan, we believe the company may have access to sufficient capital to bridge operations in 2024. In conclusion, let me say that we are pleased with our overall second quarter and first 6 months results, and we remain encouraged by continued strong commercial execution and progress within our R&D pipeline. We are focused on executing against our near-term commercial goals, launching new products, furthering new and existing partnerships, growing market share, improving profit margins and investing for future success. We continue to invest in talent, technology, and processes to drive long-term sustainable growth and a path toward profitability. With that, I'll ask the operator to open the call for questions. Thank you.
Operator:  Your first question comes from the line of Brandon Couillard from Jefferies. Your line is now open.
Brandon Couillard: Hey, thanks. Good afternoon. Todd, I appreciate all the details and added disclosure this quarter around the installs and guides and '24 pathway. It's all very helpful, so I appreciate that. Maybe just starting with the upward revenue guidance for the year, certainly encouraging to see. Could you speak to the level of confidence in just hitting that targeted range? Based on your comments, it sounded like it was substantially due to outperformance in the first half of the year. I just want to make sure that's the case, and what areas of the business are outperforming relative to your initial expectations entering the year? Thanks.
Todd Nelson: Yes. Thanks, Brandon, for the question and also for your comments earlier. So I think, in general, what we are seeing is just good, continued solid adoption of the BioXp 3250. And as we've discussed before, I think that definitely stems from the investments that we made in the commercial operations in the second half of 2021. So that group is up now. Our channel is expanding. And I think just the quality of the visibility into our funnel has improved markedly. The second thing I would say is that we had better-than-anticipated interest in the 9600 system. I don't mean that to sound like we didn't expect it to go well, but we presold a lot of those systems. And I think that was very positive for us because the systems haven't even been built yet, and we've secured, as I mentioned, sufficient purchase orders to cover our internal forecast. So that's performing better. I think the Eton services business is performing better than anticipated. And on the downside, I'd say the biofoundry services group, internally, due to fewer COVID sequence requests, is a little bit off, but it was only off by about $149,000 for a 6-month period and $15,000 for the quarter. So things that are working, commercial channel, customer service, new portal up and going, better customer experience, continued good and solid adoption above our forecast in the first half for 3250 systems, very good early read on the launch for the 9600 and very good things working in services. And then just the only rough patch, because there always is one, it's just the decrease in COVID-related synthesis service request.
Brandon Couillard: Got you. On the BioXp 9600 launch, the preorder purchases, are those mostly from new or existing customers?
Todd Nelson: So, I would say that most of them are from -- I don't have the exact numbers, so I can't give you exact, and I can follow-up with you on that. I would say most are from existing customers, so greater than 40% to 60%. And then I would say 40%, 50% are from new customers.
Brandon Couillard: Okay. And then â¦
Todd Nelson: So there is â¦
Brandon Couillard: .. in terms of the OpEx guidance -- yes, go ahead, Todd.
Todd Nelson: I was just going to say I think it's important that a lot of times, customers will have a 3250 or two 3250s. But when you move into a production environment, which is what the 9600 was purpose-built for, it's a much better instrument. So sometimes we have customers that have 3250s that get the value proposition. They love the systems, and they want something that fits more -- or suits, if you will, more of a production environment. And sometimes the value proposition just sells itself into other companies as we get going because of the speed with which you can build gene fragments.
Brandon Couillard: Okay. That's helpful. And then in terms of the OpEx guidance, so the new range, $62 million to $65 million would actually imply that the second half is down in terms of dollars from 2Q levels. So maybe, Brent, where in the P&L are you coming in below plan? Have you paused hiring? And any more color you just kind of share with us in terms of line items in the P&L for the back half.
Todd Nelson: Brandon, let me take the first part of that and then hand it over to Brent. So I'd say weâve made targeted reductions not across the company. I think weâve really preserved commercial. We plan on making some reductions in OpEx to be more right size the business to what we think the opportunity is going forward. I think Brent can walk you through some of the targets, but most of it probably came out of longer term programs that were off into the '24, '26 timeline, where I think we preserves the ability to reinvest in those programs going forward, but it will probably slow down the investment and thatâs had a significant impact on the OpEx.
Brent Hunter: Yes, I would just add that we may be in that -- to the contractor space, so we are preserving our commercial operations given the wider piece for the second half.
Brandon Couillard: Okay, great. I will hop back in queue. Thanks.
Todd Nelson: Thank you.
Operator: There are no further questions at this time, and thank you everyone for participating.  todayâs conference call. You may now disconnect. 